Unknown Executive: Investors, analysts, friends with the media, good afternoon. This is the 2022 Interim Results Announcement. Welcome. I am the representative of the BOC Securities and the General Manager of the Secretariat to the Board of Directors. My name is [ Yue Yi Koh ], I, myself, and my colleague, the Spokesperson of the Bank of China and the Director of the General Office of the Bank of China, Mr. [indiscernible] will co-host this meeting. First of all, please allow me to introduce to you the leaders of the Bank of China today, President, Liu Jin; Vice President, Lin Jingzhen; Vice President, Chen Huaiyu; Chief Risk Officer, Liu Jiandong; Chief Information Officer, Meng Qian. According to the regulatory requirements, we have also invited particularly the representative of the Independent Directors, Mr. Jiang Guohua, who is joining us online. Considering that it is a very good opportunity for us to learn about the opinions on the market and also to help us to improve the operation and management of the bank through our communications, we have also invited colleagues who are in charge of our businesses and departments, who are now online. We have 2 items on the agenda. First, President, Liu Jin, will give us a presentation on the 2022 interim results and the implementation of the plan as well as the outlook of the next stage. And then we will have the Q&A. And all the financial numbers we share today are formulated according to IFRS, unless otherwise provided and the presentation can be accessed -- is accessible on our website. So now we would like to give the floor to President, Liu Jin.
Jin Liu: Distinguished investors, analysts, friends from the media, good afternoon. It's my great pleasure to once again meet with you online. We really hope that the COVID-19 pandemic will be over soon so that we can host this results announcement offline, so that we can have a face-to-face exchanges, shaking hands, have a cup of coffee together, which I think will be even better than this online announcement. So at the end of March of this year, for the Q1 results announcement, I shared with the investors, analysts, and friends with the media about 3 look at and look at, that is both look at the stock price and look at dividend, look at the growth on the capital market and also look at the stability of Bank of China as a state-owned large commercial bank. We should look at the market-based features as a commercial bank and also of Bank of China, but also look at the institutional advantages of the socialism with Chinese characteristics. Ever since this year, the work of BOC has made very good achievements and that also showed the institutional advantages and also received very positive feedback from the capital market. And the stock price of BOC on the Mainland and the Hong Kong market has outperformed the market, industry index and comparable peers. And the annual cash dividend is also very sound, return of investment for the shareholders. Now I'd like to introduce to you the interim results of BOC. Ever since this year, BOC has been implementing the national policies by the party and the state council to seek progress among stability and also to face the challenges and difficulties. First, earning abilities has enhanced steadily and the operating income of H1 was CNY 113.6 billion and a profit after tax as well as a profit attributable to shareholders has increased by 4.86% and 6.3% year-on-year. While supporting the real economy and reducing the financial cost, we have also been taking active refined operation management measures. The NIM for H1 was 1.76%, up by 1 basis point compared with 2021. Second, asset and liability improved continuously. We have been implementing the government's requirement on stabilizing the economic fundamentals to provide bigger credit support and provided more than CNY 1.02 trillion of domestic RMB loan, which is a record high. At the same time, we have been optimizing asset structure and stabilize the profit level. The proportion of net loans to total was up by 1.61 percentage points. And at the liability end, we also stick to improving both the scale and the pricing of deposits. And through wealth management scenario construction and full process marketing of local debt, we have absorbed low-cost capital. The proportion of deposit to total at the group level was up by 1.9 percentage points and the domestic RMB deposits reached more than CNY 1.2 trillion with increased current deposits and the deposit interest to payout payment ratio has maintained stable. The overseas and the domestic foreign currency business has also remained -- maintained its leading position in the market. Third, business risk remained stable. NPL ratio, overdue ratio, and ratio of allowance for loan impairment losses to NPLs have been maintained at the same level. And also, the business in strategic emerging industry and inclusive finance has also maintained stable with both endogenous accumulation and external replenishment. Fourth, the customer base has also been increased. And the active corporate customer increased by 11.5% year-on-year. Personal customer, active customer reached more than 500 million and the monthly active mobile banking customers have also reached to over 730 million, increased by 15.64% year-on-year with 6.87 million of corporate customers online banking customers. In the first half of the year, we have implemented the 14th 5-Year Plan to support the real economy and in H1, the domestic RMB corporate loan has increased by CNY 898.7 billion, and also the loans to the manufacturing industry increased by 15.64%, which is 5.19 percentage point more than last year. And the middle and long-term manufacturing loan was up by 19.97% and the balance was up by 1.3 percentage points. And the loans to the private enterprises, finance -- technology finance and strategic emerging industries was up by 12.54%, 17.21%, and 67%, respectively. We also provided support to the industries, including logistics, retailing, and catering and also the real estate enterprises. And we also provided loans to -- in countries along the Belt and Road, which is over RMB 245 billion. We also provided services to Canton Fair and CICGF et cetera and has maintained a leading position in the international market. Second, we have also speed up the 8 major areas and the efforts in the 8 priority areas to support the 8 key areas. In terms of the technology finance, we provided to 46,000 enterprises with a credit of CNY 1.02 trillion and built 116 outlets offering technology finance services, and we also established a Technology Finance Committee in charge of the integration and management of the technology finance work. We also have strengthened the cooperation between the bank and the government to provide innovative financial services to the high technology and innovative enterprises, provided CNY 146.3 billion for the innovative enterprises. In terms of green finance, we have provided domestic green loan with a balance of CNY 1.73 trillion. We also have been using structured monetary policy and provided CNY 32.3 billion of emission reduction support loan and also participated in solar energy and energy conservation projects. BOC also ranked the first in the Bloomberg global green loans and for Chinese banks. And in terms of inclusive finance, inclusive finance loans to MSEs was up by CNY 223.5 billion, with the increased rate of 41.38% and the increase in the number of loan customers was up by 12.39%. We also have launched the action plan that we call inclusive loan for employment promotion to provide support to employment and we also have launched diversified financial services to the specialized refined, featured and innovative enterprises. In terms of a cross-border finance, we have been providing support to the high level, opening up to the outside world. And first, we supported the international trade development. We carried out special action plans including cross cycle adjustment to stabilize foreign trade and the RCEP Free Trade Zone. In H1, this year, we extended loans of CNY 321.7 billion to the international trade finance, up by 40% and the international settlement volume was more than RMB 1.7 trillion and 12% more for these -- in terms of the settlement for import and export. And we also have helped with the internationalization of RMB. In H1, this year, the cross border RMB clearing reached CNY 367 trillion, up by 18.27% and the cross-border RMB settlement reached to CNY 4.97 trillion, up by 19.23%. Third, we also focused on the service to SMEs. We organized 100 different activities to support the finance of more than 15,000 international trade enterprises. Based on the inclusive loan BOC E Enterprise platform, we provided financial matching service for SMEs and also formulated special plans like BOC [Foreign Language] and BOC [Foreign Language]. Fourth, we also innovated and diversified the Trade Financial Service system, accelerated the innovative financial service platforms, including procurement trade and cross-border e-commerce, et cetera and launched cross-border products, including BOC cross border e-commerce and BOC cross border e-procurement. Fifth, we also enhanced the coverage and facility of personal cross-border businesses for groups of customers, including overseas Chinese students and overseas travels et cetera, including products and services, including the salary payment agency overseas and also overseas non-resident foreign exchange -- foreign currency exchange. We also supported the -- about 19,100 subscribers for cross-border wealth management and the market share was 62%. This in the first half of this year, the main cross-border indicator has maintained a leading position in the market, including international settlement, cross-border RMB, clearing and settlement and foreign currency exchange. In terms of the consumer finance, we also have accelerated the development. The non-housing customer loans was up by 23.38% and for the groups of people affected by the COVID-19, we have provided the deferment -- deferral of repayment of loans and also the deferral of repayment for students. In terms of the wealth finance, we are dedicated into -- in the residents financial management to realize common prosperity. At the end of June, the personal customers' AUM reached to CNY 12 trillion and the assets of private banking AUM was CNY 2.33 trillion. Accounting for the number one among all peers in terms of stock and gross number, in terms of supply chain financing, we optimized the financial product system, featuring bills, certificated finance, loan debt, insurance and leasing to provide stability and relief, providing a smooth operations scenario for the supply chain. For the first half of the year to the core enterprises, we provided CNY 1.32 trillion of liquidity support, year-on-year growth of 18%. For upper and low string companies, we provided trade financing and credit support amounting to CNY 1.06 trillion, year-on-year increase of 36%. Also, we launched the online BOC smart chain easy supply credit product so we can provide digital scenario based smart supply chain finance experience. In terms of county level financial services, we will continue to consolidate the poverty eradication results, have special support for the key recipient counties. In the first half of the year, agri-related lending, inclusive agri lending, total balance increased by 13% and 30%, respectively. And the county-level institution coverage rate reached 62.75% in the targeted recipient areas in Shaanxi, Xianyang, Yongshou, Changwu, Xunyi, and the Chunhua, the 4 counties were provided CNY 40 million of interest-free assistance funds and invested in and introduced interest-bearing funds up to CNY 400 million and also trained 20,000 local grassroot cadres, the champion of rural revitalization projects and the technical staff, providing strong support for local revitalization development, assuming of SSR. And recently we organized overseas institute staff as volunteers to connect with those recipient accounts, students and pupils to attend the online BOC overseas [ mini lectures areas ] to introduce our BOC overseas institution to this local students opening up new window to understand the world. So our financial service concept and our image are well implanted in the hearts of these younger generations, so they may become our future customers in the future. Thirdly, coordinated development based on the One Mainstay, 2 Engine strategy continue to consolidate our differentiated competitiveness. In the first half of the year, the domestic institutions contributed 81.1% of total profit that are being the mainstay, which is further consolidated. By serving the county strategy of a higher level, higher quality opening up and facilitate natural strategy of achieving the dual circulation featuring domestic and the foreign circulation and focusing on the principle of serving the global customers featuring Chinese elements, we are using market by market strategy for overseas institutions, which has further optimized our European Union IPU regional headquarters is fully established. Our ability of allocating resources, serviceability has been enhanced. In the first half of the year, the overseas commercial banks are contributing more to our overall profit. Some key institutions, the overall business scale and financial effectiveness have increased and also targeting our deepened interconnected synergy strategy, the comprehensive operating companies are enhancing the market competitiveness and for speeding up the digital transformation to use science and technology to empower innovative developments. The first batch of OASIS projects are being launched, facing -- innovating the One Mainstay, 2 Engines strategy architecture. So for our customers, the institutions, the staff and access control, the 4 basic categories, basic information are fully integrated and shared. So we can achieve the interconnectivity of data productive factors. The new infrastructure is adapting to the new digital economic trends and focusing on the modular points or breakthroughs. For example, cutting-edge technologies like distributed computing, mobility, and the large data, big data and artificial intelligence at our modular platform basis service scenario oriented IT structure is taking shape. We have agile payment, fully controllable system focusing on the key areas and expand the enabling factor of key technologies in the priority area, building new scenarios using the digital RMB, smart operation, outlay the transformation, the digital governance with more innovative breakthroughs so that we're shifting from the project management need analysis to product service and the maintenance. The full chain is being sped up. We have a deeper integration between technology and businesses and all the key projects are the battleground for testing of our skills and then we can have flexible and agile hybridization between the business people and the science and technology people, so they can achieve a synergistic effect, building a strong team of digital transformation and we have fully finished -- accomplished all the tasks, guaranteeing the smooth operation of the Beijing Olympic Game and the Paralympic Winter Game and the digital RMB test is receiving very positive international feedback to show the China's financial strength to the whole world. And also we are focusing on the 8 priority areas and the 4 scenario-based financial services ecosystem to have differentiated business to stimulate outlets vigor and deeply transform the outlets. And fifth, comprehensive risk management to foster and diffuse financial risks effectively, we have to set up a full life cycle mechanism for the diffusion of financial risk, sped up the digital management transformation of risk management. In terms of credit risk management, we have a high quality development and strike a balance between it and the risk for stalling. And we are optimizing the structure of credit structure, green credits extended to the key strategic emerging industries in that key areas are having a better quality, the moratorium repayment, principals and interest rate is having good effect, inclusive lending to the micro and small businesses, quality is getting better and much higher than the bank-wide average. Some large amount NPL resolution has been making good breakthroughs and asset quality is getting better. And also, we see that in the first half of the year, the property market is more volatile and there is a resurgence at outbreaks of COVID-19, international geopolitical conflicts are exerting impact on certain regions and certain industrial sectors. But such impact is temporary, it is regional. With the strong guidance of State Council, PBOC and the CBRC, the banking institutions are having increasing awareness and increasing initiative for risk management. BOC will continue to uphold the principle of early discovery, early warning, early identification and early distribution and better use our toolkits for monitoring and early warning to proactively make adjustment regarding potential risk for the broader market, the capital market and our key -- another key risk areas continue to have a rolling inspection, so that we can identify and deal with the potential risks at the early stage. In the property market, the market is really facing a lot of difficulties, but we already saw that and State Council departments and banking regulators and other regulatory bodies are guiding us to take stronger efforts in providing stronger credit to the property market, so you can develop very steady, healthily and sustainably. BOC has been reinforcing our communication with the market players in the property market. We hope that we can make more contribution to their healthy development. So the financial sector, the consumer sector and the real economy sector need to work together to build confidence to help the property market rebound to help economic recovery when the domestic COVID situation is getting better or the economic stabilizing measures are being implemented gradually and we are seeing the accumulation of multiple positive factors. We have the confidence, resolution and the ability to safeguard the security bottom line, making sure that at the group level asset quality is maintained at a good level. So above is the interim results and the implementation of the plan for the first half of the year. This is heart-bound success. I really want to appreciate the hard work and relentless work of the 300,000 staff in the bank. And also I want to thank the support and guidance from all social works and our shareholders. This is really a difficult situation, complex saturation for operation. So they were growing together with all shareholders, the shareholders, our staff and customers and other stakeholders. We need to support each other, give more care to each other. We believe that such growth will be more robust and more sustainable. It will be full of human touch and quality. In the second half of the year, we are facing even more complicated operational environment. Inside our own operational management strategic implementation process, there may be some deeply entrenched issues and we may face new challenges too. BOC will continue to seek steady development and growth and accurately, comprehensively implement the new outlook of development, actively serve the overall national strategy, continue to give stronger credit support for the real economy, continue to reinforce our financial services to some key areas and some areas of weaknesses and overcome the difficulties with all market players and stabilize the economic fundamentals. We will continue to consolidate our differentiating competitiveness, stabilize the foreign trade FTI and build global service brand with global impact, strike a balance between the layout of comprehensive operation, reinforce the business environment for high-quality development, speed up the digital transformation, use the OASIS project to lead the integration between business and science and technology and use scenario-based businesses to lead digital innovation, use mobile banking to lead digital services, use the smart operation to lead the transformation at the outlet level, continue to stimulate our development vigor. We will continue to enhance the comprehensive risk management system, enhance the effectiveness of bank-wide and group-wide risk management system to proactively foresaw and diffuse potential risks, be very forward-looking for new businesses, making sure that our businesses can be managed well. This year we celebrated 111th anniversary of the founding of the bank, starting at this new point, we are full of sense of mission to carry forward the century old brand. And also, we will remain ever committed to the mission of supporting the real economy, committed to the promise of giving good return to the shareholders, committed to dealing with the challenges and risks in this complicated operational environment. We will remain true to our original mission, to build the work style of being practical and down to earth, pursue relentlessly to build a world-class banking group to serve the strategy of high-quality development Chinese finance sector and economy.
Unknown Executive: Thank you, President Liu, for your excellent overview. Now let's go to the Q&A session. First, we will invite the investors and analysts to ask questions, but let us know where you come from before your raise the question. Our assistant, please connect to the first speaker. Now the first question, you can unmute yourself.
Richard Xu: I'm from Morgan Stanley. I'm Xu Ran. I want to congratulate BOC for achieving such good results, very stable results. Given this very typical situation, we know that especially outstanding performance in terms of NIM. In this year's complex severe economic environment, the central government, state council have made serious important plans to stabilize the economy. In the first half of the year, BOC has made efforts to increase credit support for enterprises and credit growth has reached historical high. President Liu, just to mention that especially targeting the emerging strategic industries, inclusive loans and green credits, the growth is relatively fast. What about the next half of the year? We know that economy's recovery will be under pressure. Do you see a upward adjustment of credit allocation? And what about the credit demand situation for the second half of the year as well as the scale structure and the pace of your credit allocation?
Unknown Executive: Thank you, Mr. Xu. Truly, in the first half of the year, the market has been monitoring the allocation and granting of credits from the banking sector and the market need. Our Executive Vice President, Lin Jingzhen will answer your question.
Jingzhen Lin: Thank you for your question from Morgan Stanley. General Secretary, Xi Jinping has repeatedly stressed that finance is the back line of the national economy. And serving the real economy is the natural duty of financial sector. As a state-owned financial institute, Bank of China has always embraced the idea of serving the country with financial services, adhere to the concept of financing for the people and actively serve the overall national strategy, conscientiously assume the role as a state-owned major bank and made us serving the real economy as the starting point and the goal of our work and continuously injected financial vigor into the sound development of the real economy. In the first half of the year, BOC adhered to the general keynote of seeking progress in the stable manner, fully implemented requirements of preventing the pandemic, stabilizing the economic fundamentals and securing development. We actively and forcefully responded to the impact of various factors beyond our expectations and implemented the central government's economic stabilization policy package with high quality and practiced the mission of large state-owned bank to stabilize the economic fundamentals. In the increase of credit support, support for distressed subjects to the -- affected by the COVID-19 pandemic and strengthening financial support for infrastructure construction and support the financing in key areas and weak links, as well as providing services for green cycle transformation development expansion of financial supply for stabilizing foreign trade et cetera, we focused efforts on precise measures and have achieved positive results. By the end of June this year, the domestic RMB loans increased by CNY 1.02 trillion and with the new loan scale hitting record high for the same period in a row. The growth rate of loans in strategic emerging industries, inclusive loans, green credit and other key areas were higher than the overall level of loans. And the growth rate of non-housing consumer loans was ahead of major peers, which steadily strengthened the support for the real economy. As the analyst from Morgan Stanley said, at present, the domestic epidemic prevention and control situation is generally good, but still unstable. And also the domestic economic recovery is not yet -- the foundation for the recovery is not yet solid. And the economic development is still faced with a triple pressure, the industrial supply chain recovery and special debt projects to form a physical workload and regulatory policies to take effect on the ground will still take some time. Therefore, credit growth will still face quite big pressure. But of course, we should also see that there are still opportunities in macro policies, including active physical policy and prudent monetary policy. In the next stage, the Bank of China will unswervingly implement the decision and deployment of the central government, the state council and put growth stabilization in a more prominent position, take up its responsibility and take care of the overall situation and seek long-term development. We will make every effort to support the consolidation of the -- and the recovery of the real economy and achieve our own high-quality development in the service of the real economy. Specifically speaking, it includes the following aspects. First, we will play the countercyclical adjustment role as a large bank and also reasonably arrange the pace of investment. We will proactively corporate with macro fiscal and monetary policies and achieve a year-on-year increase in domestic RMB loans for the whole year and will also realize such increase year-on-year in the second half of the year. We will insist on making efforts in advance accurately and fully and effectively play the role of financial stabilizer as a large state-owned bank. Secondly, we will show our active role in supporting the real economy. We will seek the opportunity of current infrastructure construction and increase the financial support for infrastructure projects and major projects such as transportation, energy, water conservation, new infrastructure, new urbanization, et cetera. And we will make good use of the special refinancing tools of the PPOC to improve the resource guarantee for national policy oriented projects such as carbon emission reduction, clean and efficient utilization of coal, scientific and technological innovation, universal pension, transportation logistics and the green development. We will make all efforts to meet the reasonable demand of our financial support in the real estate sector and focus on supporting the demand for first and second housing loans, lowering the financial cost for homebuyers and promote the virtuous cycle and stable and a healthy development of real estate sector. We will continue to increase the business model innovation and a scenario integration, accelerate the expansion and increase of new housing consumer loans and continue to support residents consumption and serve the strategy of expanding domestic demand. Third, we will consolidate our distinctive advantages in serving national strategies. We will continue to carry the responsibility of being the main channel bank for foreign trade finance, continuing to expand the coverage and benefit of foreign trade customers and ensure the leading position in the foreign currency trade finance market. We will play an even bigger role in opening up the double circulation by taking advantage of our global layout, improving our ability to provide a package of cross-border financial services, and serving the introduction of high quality and going out at a higher level. Fourthly, we will take up the role of a large bank in stabilizing the main body and benefiting people's livelihood. We will actively serve local governments to make good use of the special debt funds and promote the formation of physical workload. We will support enterprises affected by the epidemic to relieve their difficulties and provide services to civil aviation, catering, tourism, and other industries affected by COVID-19 and help to stabilize the economy by stabilizing the main body. We will actively provide service with the supply chain financing need, serve to ensure stable energy supply and help move the micro circulation of industrial chain in which the construction of consumer things, optimize online inclusive financial products and services and increase the investment in agriculture-related loans and implement the politics and the people's nature of finance into concrete actions.
Unknown Executive: Next question please. Please unmute yourself.
Unknown Analyst: I'm [indiscernible] Fund. My name is [ Jiang Lu ]. I'm very honored to have this opportunity to ask this question to the management. We have seen that the NIM of BOC has been performing very good in H1 this year, which was outstanding against the backdrop of the overall NIM under pressure in the industry. And it's also attributable to the factor that BOC's overseas business is relatively high, accounts for relatively high percentage because of the USD interest rate hike. So I'd like to ask the management to analyze the reasons and look forward to the full-year NIM?
Unknown Executive: Thank you for your question and your interest. Like you, we also pay a lot of attention to NIM, because it is like a question that every bank has to answer. So President, Liu Jin, will answer this question.
Jin Liu: Thank you for your question. First of all, in your question regarding the stable growth of BOC's name is related -- is linked to the overseas assets percentage of BOC. So thank you for your interest and your attention to the internationalization of BOC. It is indeed one of a major -- one of the major reasons for us to have realized stable growth in NIM, but it's not the only reason. In H1 2022, the NIM of the bank has had very good results. Our operation income was more than CNY 313.6 billion and our profit attributable to the shareholders was up by more than 60%. And the profit after tax more than 6% and the profit after tax was increased by more than 4%. So it is also -- and the NIM in H1 this year was 1.76%, up by 1 percentage point compared with last year. It is also because of our strength and management of our assets and the liabilities, so as to realize stable growth of NIM. Ever since this year, the bank has implemented the decisions and the plans of the central government on stabilizing the economic fundamentals and has increased the credit support to the real economy and promoted the reduction of corporate financing cost with practical actions. And PBOC, the State Council and CBIRC have been requiring financial institutions to reduce the financing cost for the enterprises. From the perspective of the low interest rate in H1 this year, the interest rate for domestic RMB loans continued to decline with the interest rate for newly incurred loans at only 3.65%, down 34 basis points from the previous year, which is very big margin. And that has reflected the corporate responsibility taken up by the BOC in reducing the loan cost to support the real economy. But on the other hand, as a commercial bank, we should also ensure the sustainable development of the bank and also ensure the ability of the bank to serve the real economy at a relatively low loan interest rate level. In order to do that, we made efforts in 2 aspects. First, we took the initiative to optimize the structure of RMB assets and liabilities and reasonably controlled the cost of liabilities. We focused on optimizing the structure of liabilities to stabilize NIM and adhere to the strategy of double pricing RMB deposits, expanded core deposits and steadily reduced high cost deposits to control the rising cost of RMB liabilities. The interest payment rate of domestic RMB customer deposits increased by only 1 bp compared with the previous year and we also took the initiative to adjust the structure of RMB assets and increased the proportion of domestic loans to interest-bearing assets by 1 percentage point compared with the last year and the medium and the long-term loan accounted for 74.71% and is contributed to the stability of net interest margin in RMB. This is in line with the requirement of the government in increasing the mid and long-term loan. So we reduced the cost of the liabilities and also improved both the pricing and the size of deposits, which means that the return on the deposits for the customers will be less. So that is something that we will not do. The increase in the cost of current deposit and the reduction of the deposit cost is mainly done through our scenario construction and our flow introduction. For personal customer, we have -- we should not only stabilize or maintain the return of deposits, but also should diversify the personal financial products so as to enhance the return level of the financial assets at the bank. We know that BOC, among all the large banks, our skill is the smallest and with the smallest number -- smallest total number of customers. But at the same time, in the current stage, our responsibility and task in serving the real economy is no less than the other peers. We need to expand credit supply on the one hand and we should also try to attract deposits and expand the assets -- source on the other hand, but also reduce the deposits cost and increase the proportion of current deposits. That means that in our daily operation and management through scenario construction and flow introduction and other measures, we should try to reduce our financial cost. Also, in terms of the structured deposit and agreement-based deposits, which accounted for high proportion in our liabilities, we have proposed the requirements of improving both the pricing and the size of the deposit, which is not related to the return for the customers. So through such efforts, in the past half years, we have seen the result. The interest payment cost has been dropping steadily. On the other hand, through increasing the proportion of mid-term and long-term loan, we have increased our return on the loans. So such structural adjustment for both deposits and loans have helped us to maintain the growth of net profit. Second, in your question, you mentioned our overseas and foreign currency assets. In the first half of this year, we have reasonably placed the foreign currency assets to improve the yield of foreign currency assets. The bank's foreign currency and foreign assets account for relatively high proportion. In the past few years, under the market environment of low or negative interest rate in major foreign currencies, foreign currency spreads were an important factor contributing to our low NIM. Since last year, the bank has been forward-looking in the placement of foreign currency assets, both domestically and abroad, of which the ratio of domestic and foreign currency loans to domestic and foreign currency interest earning assets increased by 5.5 percentage points. And with the shift in monetary policy in major economies in the first half of the year and a significant interest rate hikes in currencies such as the U.S. dollar, yields on foreign currency assets improved. So now we have a greater confidence that as an international globalized bank with the highest possible level among Chinese peers, our cross-border foreign exchange overseas businesses will definitely and have to take leadership among all peers. And when China is stabilizing its FDI and foreign trade and achieving the new strategy of dual circulation, we can achieve our own growth. Looking ahead to the next stage, the banking industry is still facing the pressure of narrowing NIM. And definitely our profit margin on this matter will continue to be stable, but moderate drop. We will continue to assume our CSI as a large state-owned bank, strengthen our bottom line, think increase our support for the real economy, maintain steady growth in loan investment, stabilize the economic fundamentals. At the same time, we are conscious of the gap between BOC, especially the core deposits business and the demand deposit ratio and the financing cost, overall lending cost, we do see our gap with the major peers. While serving the real economy, we need to seek benefits from better management, refined management, continue to improve the balance sheet structure, make sure that our NIM and the profit margin can be relatively stable.
Unknown Executive: Thank you, President, Liu. Okay, next question. Let's connect to the next speaker, please. Unmute yourself and ask questions.
Wei Fang;China Life Asset Management;Analyst: Dear management, I'm from China Life Asset Management. I'm Fang Wei. I really want to appreciate your result announcement meeting and talking with us. At the present, the macro economy, especially the key industries are facing downward pressure and the market is more worried about the asset quality of the banking industry than at the beginning of the year. The asset quality of the BOC is under pressure in terms of marginal changes. What is your judgment on this, especially the evolving trend of development loans in the property market and the mortgage loans related to property market as well as your overseas asset quality? What is the progress of the previous loan suspensions and what measures will be taken if more loan suspensions will occur in the future? How does the management look at the trend of asset quality and credit loss cost for the whole year?
Unknown Executive: Your question is very focused. I notice that you have made careful detailed analysis of our situation. Now to our Liu Jiandong, the Chief Risk Officer.
Jiandong Liu: Thank you, Mr. Fang for your question. I also appreciate your attention to our business. Just now President Liu Jin in his overall speech talked about asset quality already. I will supplement some information. In the first half of the year, the overall asset quality is stable. By the end of June, the group's non-performing loan balance was CNY 272.2 billion, increase of CNY 18.4 billion from the beginning of the year. NPL ratio is 1.34%, a slight increase of 0.01 percentage points from the beginning of the year. The balance of loan on the category of special mention is CNY 218.8 billion, an increase of CNY 8 billion from the beginning of the year. Ratio is 1.29%, 0.06 percentage point higher from the beginning of the year. And also in the first half of the year, I think there are 3 characteristics. First, the NPL decreased compared with the same period of the previous year, but we do have an increase of NPL balance and NPL ratio. But the incremental new NPL is less. And also in terms of resolution, although we have some large NPL customers and we made major breakthroughs, but due to the COVID lockdown effect, the resolution process is slowing down and due to pandemic compared with the same period of last year, so the NPL ratio is a bit over the level of last year. Secondly, the domestic NPL ratio decreased by 0.03 percentage points compared with the beginning of the year. The overseas NPL ratio increased compared with the beginning of the year. Domestic asset quality benefited from the national strategy of stabilizing the economic fundamentals and we see a very stable trend in general. And it dropped by 0.03 percentage points compared with beginning of the year. And for the corporate NPL and overdue rates are dropping and personal loans due to the impact of the pandemic, the non-performing and overdue balance are increasing. An overseas business is affected by regional conflict, wars, and the pandemic, NPL ratio increased compared with the beginning of the year. And thirdly, the credit structure is continuously optimized in the first half of the year, especially some key developed areas, the asset quality has maintained healthy and stability. The growth rate of loan placement, the manufacturing strategy, emerging industry technology finance, green finance, inclusive finance is higher than average. So this made sure that going forward the future asset quality's overall structure will remain stable. So this is the fundamentals for the asset quality. You are talking about the property markets. And for the corporate NPL in this sector increased by 0.6 percentage points compared with the beginning of the year, on par with our peers. The bank's NPL rate for the property market is slightly higher compared to our peers with all standards. We made a survey our debt and our wealth management and the credit. Under all categories, our general judgment is that the risk exposure is minimum, the overall risk level is controllable. According to our survey, we took measures to proactively react to the situation, working closely with the local governments to continue deliver the pre-sold houses to guarantee the livelihood and also provide M&A, financing and financing relief to of those property developers to resolve the risks. After the long suspension occurred, we organized relevant forces to conduct a comprehensive survey of all kinds of loans involved work stoppage and the loan suspension of bank. In general, the amount of suspended loan, especially for mortgage loan is relatively small compared with other peers and the scale of loans for suspended construction and the delayed delivery of houses account for small moderate proportion of overall real estate loans. Going forward, we'll continue to uphold the policy that no speculative investment housing, houses for living in to meet the reasonable financing needs of property enterprises, homebuyers arrange real estate loans in orderly manner, so you've got the legitimate rights and interests of housing consumers, give priority to supporting the healthy development of the housing sector. And also, you talk about the overseas asset quality. Due to the impact of the pandemic, truly the overall international environment is complicated and it's changing over time. In certain regions, they have a serious pandemic and the geopolitical situation and the appreciation of the dollar value. Our overall overseas NPL ratio is 0.8%, up from the beginning of the year, but the risk is generally controllable. The new overseas NPL loans are mainly concentrated in the property market and the manufacturing sector commodities and aviation, hospitality, and the tourism hit hard by the COVID and also areas affected by geopolitical conflicts. The overall trend is that the overall complexity of the COVID situation and uncertainty of its impact will remain and will have an impact on our future overseas operation in the following areas. First, in the months going forward, the pandemic will be kind of normalized stage in certain countries, but it will resurge from time to time. And in all these areas, our exposure overseas is kind of complete and we will continue to strengthen the monitoring of potential risks in these areas, especially already exposed to risks and also try to resolve the NPL assets to control the overall quality of our asset. And secondly, the high global inflation, especially the high interest rate by the federal reserve will have a huge impact on the non-U.S. economies and financial markets. We noticed that in Southeast Asian countries their financial foreign-exchange markets remained stable. The economies is recovering strongly and our credit quality locally is very high. It's partially especially among local peers. This has improved the overseas asset quality. And thirdly, geopolitical conflicts have affected the repayment ability of overseas customers in such regions. And this issue will continue and may scale up and escalate. In certain regions, our customers' structure is quite good. The main borrowers are the world's top 500 companies, local industrial leaders, and large Chinese companies, who have gone global. They are very strong, very solvent. Their operation is good. So we believe the quality of overseas assets exposed to them will remain at a good level. So in the months to come, we will see a stable asset quality. In second half of the year, we'll continue to place more importance on proactive prevention and the resolution of systemic financial services, adhere to the equal emphasis on high quality business development risk prevention control, strengthened institutional mechanisms and enhanced ability to deal with the major risk management, fully implement the economic stabilization policies issued by the State Council to help thousands of market players to relieve their difficulties and build up their strength. Second, continue to deepen comprehensive risk management, improve the identification and see through management risks of cross-contamination of risk in various fields, continue to follow the full early requirements to build good toolkits. And also use the principle of early identification of warning, detection and disposal, increase the control of key areas, keep a close eye on effective prevention and control of main risk points and sources of risks, increase the number of potential risks and the number of earning assets monitoring. And fourthly, continue to optimize the credit structure, continue to strengthen the foundation of the group's high quality development, accurately reflect the quality of asset exposure, strictly implement the relevant requirements of expected credit loss method, fully assess the risk in key areas, prudently make provisions, continuously enhance resilience, maintaining the reasonable leverage of provision coverage ratio. So we have full confidence that we will not betray your trust, especially the trust of the shareholders. So that's for the whole group. The quality of the asset will maintain at stable level.
Unknown Executive: Thank you, Director, Liu. Next question, please. Next speaker please unmute yourself and ask questions.
Unknown Analyst: Thank you management for giving me this opportunity. I'm from CICC. My question is relating to wealth management. It is the main competition field for bank's retail business. And BOC has put a lot of efforts in wealth management in the past 3 years. And this year is also the 15th anniversary of the launch of BOC's private banking business with many new developments and moves. I would like to ask the management about the continued -- contribution of this area to the overall business development and the financial performance of BOC and its subsequent outlook. And in the face of increasingly fierce and homogeneous competition, how can -- I mean, all the products are very similar. How can BOC's wealth management business line meet the requirements of common prosperity strategy of this government and achieve high quality development with its own characteristics?
Unknown Executive: Thank you so much for giving such attention and recognition of our wealth management line of business. We have done a lot of efforts on this matter over the years and we hope that more investors and analysts recognize our ability in the wealth management sector and become our wealth management customers. Executive Vice President, Lin Jingzhen will answer your question.
Jingzhen Lin: Thank you my friend from CICC for asking this question regarding the wealth management business of BOC. Wealth management is 1 of the 8 major financial priority areas of BOC's group strategy plan, important focus for the bank's practice to meet the national requirements of common prosperity strategy, deepen the financial supply side reform and achieve our own high quality development. And specifically in the field of personal financial services, during our 14th 5-year plan, we set up the development strategy with the mainstay from wealth management as the mainstay and cross-border financial services and consumer finance at a special features to accelerate the high-quality development of the bank and help enhance people's property-based income to achieve win-win situation for both our customers value and the banks own value creation. Judging from the business data in the past 2 years, the development wealth management line of business has achieved good results. And it has become a powerful leverage for the bank to grow its customer base and deposit scale and to improve its profit margin. Especially in the first half of this year, the bank faced with the market fluctuation has been overcoming such impact and continue to maintain the steady development of wealth management on the basis of last year's high growth. In the customer dimension, the market share of the bank's full volume of individual customer has increased, including the number of investment and wealth management customers with a year-on-year growth rate of more than 10% and the growth rate of medium- and high-end customers was higher than that of the other -- the mass customers by nearly 6 percentage points. And the customer structure also continued to be optimized. In terms of financial assets, the group's total financial assets of individual customers exceeded RMB 12 trillion, and the financial assets of private banking customers exceeded RMB 2 trillion. And with the growth rate of total financial assets of domestic individual customers and investment -- financial assets ranking at the forefront of comparable peers and enhancing the market competitiveness of BOC in this regard. The market share of the main investment business holdings such as non-gross funds on behalf -- under the wealth management products based on agency sales and the insurance products based on agency sales, they all have increased year-on-year. And in terms of the revenue dimension, the bank's wealth management revenue has grown at a compound annual growth rate of over 14% so far. And its share in personal finance noninterest income has been increasing, rising by over 10 percentage points. So driven by the wealth management income, the contribution of personal finance business to the bank's revenue and the profit is also steadily increasing and has become the group's top revenue-generating business segment. Looking ahead, we're full of aspirations and hope in terms of the development of our wealth management business. In terms of the external environment, China's wealth management industry will usher in a golden area against the backdrop of the common prosperity strategy of the government, deepening reform of the capital market, regulation of the asset management industry, increasing disposable income of the residents and restructuring the wealth and -- restructuring of wealth and the diversification of customers asset allocation needs and accelerated empowerment of financial technology. So for a company -- for a bank with 100-year history and international assets and business. We think that in terms of internal support as the first Chinese commercial bank to launch private banking services in China, we have accumulated rich experience and a wealth management brand reputation that is recognized by the customers and the market during our long-term wealth management business practice and also the traditional advantages of globalization and integration have also given strong momentum and vitality to the development of our wealth management business. For example, since its launch, the bank has been leading the industry with a market share of over 60% in terms of our cross-border wealth management connect. So in the future, we will maintain our determination and the dedication and continue to make efforts to promote our own high-quality development based on our wealth management business, while practicing the strategy of common prosperity. So first, we will still adhere to the principle of finance for the people and enhance the wealth management of the inclusive professional capacity. We will focus on inclusive development, increase the supply of wealth financial products with low threshold and wide scope of targets, such as inclusive insurance, pension finance and pension savings to expand the customer base of investment and finance and help build a basic institutional arrangement with coordinated primary redistribution and a tertiary distribution with financial strength. We will focus on professional services and continue to build an open platform of a group-wide and market-wide scale to provide highly competitive products and professional teams and at the same time, provide continuous and long-term services from market views, product interpretation, investment education activity and position accompaniment to provide comprehensive support to our customers. Second, we will still focus on technology empowerment to enhance the digitalization and intelligence of wealth management. On the one hand, we will enhance our digital service capabilities by relying on mobile banking, WeChat banking, strategic level scenarios and other digital channels to create industry-leading online wealth management services. So in the second half of the year, we will launch the mobile banking version 8.0, focusing on wealth management, open ecology and other comprehensive upgrades to improve the customer service experience. And on the other hand, we will further promote the development of intelligence, continuously explore the service model and business innovation of future banks. We will also try to gain more profound insight of our customers and analyze the products in a panoramic way to precisely match our services and enhance the professional -- enhance the professionalization, automation, personalization and intelligence of BOC's wealth financial service. Third, we will still adhere to the path of characteristic financial development and consolidate the advantage of globalization and the synergy of wealth management. Based on the endowment of Bank of China of 100 years' history, we will make loan board longer, and we will strengthen our advantages and turn it into the winning momentum of our wealth management development because this year marks the 15th anniversary of the launch of our private banking services. So as a new starting point, we will be also the first bank in the industry to launch the entrepreneur office service. And in the future, we will also continue to adhere to our strategy of group private banking and make full use of our global organization, international team and diversified business platform to provide the one-stop comprehensive services tailored for high net worth clients, including entrepreneurs and assisting them in wealth planning, family management, corporate investment and financing and philanthropy will help our clients to create, maintain and spread wealth, while practicing social responsibility and serving the economy.
Unknown Analyst: I'm with the CITIC Securities. My name is [indiscernible]. My question is regarding green finance. In recent years, domestic banks have been expanding green finance under regulatory requirements and market guidance, and BOC has also put forward a clear development strategy and goals in this regard. And the President Liu Jin also proposed to make green finance as a new business card of BOC. So I'd like to ask about the latest progress of the bank's relevant business, especially under the competitive business situation, the capital market is more concerned about the return of green finance. So how does the bank assess and achieve the commercial sustainability of the business?
Unknown Executive: Thank you for your very good question. Not only concerning the progress of our green finance, but also the sustainable development of this business. So CRO, Liu Jiandong, will take this question.
Jiandong Liu: Thank you for your question from CITIC Securities. Green finance is an important part of the 8 priority areas. And in the first half of this year, we have been developing the green finance. And domestically, we participated in the biggest domestic or largest photovoltaic green hydrogen production project. And we are also -- by the end of June, the balance of a green credit of our bank reached RMB 1.73 trillion. And overseas, we supported some landmark projects like the world's largest single offshore wind power and the -- we're also -- we also ranked the first among Chinese banks in Bloomberg's global green loans for the first half of 2022. So in terms of green bonds, the green bond issuance scale ranked the first in the Chinese industry. And on the underwriting side, the underwriting scale of domestic and overseas green bond issuance also ranked the first in the Chinese industry. And in terms of investment, we also ranked the first as an investor in green debt financing instruments by NAFMII. And besides that, there are also other highlights of product innovation, such as the green inclusive product of Hangzhou branch in Zhejiang province, and it has launched the green credit farming loan to provide innovative green agriculture services and solve the problem of difficult financing for high-quality agricultural product operators. Shanghai branch also expanded the green plus personal fund and launched green low-carbon card to provide diversified green financial services for customers who are committed to low-carbon life and BOC International has also focused on green plus listing and participated as a cosponsor in Wilmar. BOC International focused on green plus IPO and participated in the sponsorship project for the Hong Kong stock listing of Wilmar Holdings. And the BOC of Hong Kong innovated green plus index and launched jointly the first climate transition index focused on the Greater Bay Area with S&P Dow Jones Indices to help the development of low-carbon transition in the Greater Bay Area. You also talked about sustainability development -- sustainable development of green finance, which is indeed under a lot of pressure. So in terms of the practice of BOC, we think that green finance still has a very good commercial sustainability in the following dimensions. First, the pricing of a green credit is controllable. We are mainly through the issuance of a green debt and also innovating other green credit measures to reduce -- to control -- to maintain the pricing level in a reasonable range. And this year, we have issued a scale of CNY 32.3 billion of carbon emission reduction loan. And also, we have realized a very good social and economic benefit for our loan weighted average interest rate. Also, our asset quality for green credit has been maintained at a very good level so that the cost pressure is relatively small. Third, in terms of the green credit, it also provides us with a comprehensive income by diversifying the scope and the types of the products. We provided a comprehensive service capability to our customers in terms of customer base and the customer loyalty, we have been increasing our market share. We also make full use of the advantages of Women's Day and 2 engines we have been providing comprehensive services to the customers covering loan, deposit, investment, debt, credit -- debt, stocks, rent, leasing, insurance and consultation. In the first half of this year, the weighted average pricing of our green loan compared to the peers, the level is very close. So there is no big cap. So overall, we think that the green credit still has very good commercial sustainability. In the future, we'll adhere to the above development ideas, continuously improve the relevant policies and systems and assume the social responsibility of large state-owned bank and achieve the harmonious development of commercial sustainability and environmental sustainability through different innovations so as to respond to the national goal of carbon emission reduction.
Unknown Executive: Thank you, Director, Liu. So the questions and answers we discuss before, mainly the major areas of concern of investors through our communication. So we will finish this session for the questions from the investors and analysts. If you have additional questions, please contact my investor relationship managers of the bank later. Now I want to invite [indiscernible], who is the spokesperson and Office Director of the BOC to host a question-and-answer session for the media reporters. Thank you, madam, Yue Yi. Dear shareholders, investors, media friends and other colleagues, good day to you. I feel so appreciative of your long-term attention paid to and support rendered to the bank. I understand that our media reporters may have brought with you some areas of concerns or questions for us. Let's -- but ask only one question when you raise the question. Okay. Let's connect with the first media reporter. Okay. Our first reporter, please unmute yourself and ask questions.
Unknown Analyst: Can you hear me?
Unknown Executive: Yes, we can hear you.
Unknown Analyst: I'm from the Hong Kong Commercial Daily. I'm [indiscernible]. Our news that in first half of the year, in the face of complex via external international situation, BOC services business has performed steadily and continues to play an important role in the traditional areas to strengthen the BOC, such as the financial stabilization of foreign trade and helping double circulation. I want to know that given this uncertain and fluctuating global market, are you going to adjust a strategic layout business direction overseas? And how will you use the globalization gene or DNA to give foot play to the globalization advantages and seek opportunities amidst the crisis and help the country to open up to the outside world with a higher level?
Unknown Executive: Serving the high level -- high quality opening up, it is our differentiating quality. It is the need of our times. And also, it is our way to serve the dual circulation and 1 main stay on the 2-engine strategy. I want to thank the media reporter from the Hong Kong Commercial Daily since we got listed, the development of overseas business as related risk management have become the interest and concerns of our investors and shareholders. As my colleague said before, in the first half of the year, our overseas operation has been very stable, while managing the risks, our contribution from overseas instrument -- institutions have been increasing. We have a clear understanding of the global situation overseas, and overseas operation is full of challenges and opportunities. International saturation is severe and complex, what economic growth momentum is weakening, the risk of stagflation is rising and the post-pandemic divergence of national economies are more prominent. Global inflationary pressure condition increase. United States and Europe continue to tighten monitory policy. Emerging economies are facing moderate risks, such as capital outflows, currency depreciation and debt defaults. The financial market turmoil has intensified, monetary policies have actually emerged, requiring our continued attention. Security challenges are bound and crisis in Ukraine has led to profound changes in the international situation. Global supply and demand cycle has been seriously disrupted, regionalization and localization characteristics of supply chain have been further strengthened. We are fully aware of these complexities, uncertainties, enhance our sense of urgency, proactively address the challenges, improving our ability to respond to the changes beyond expectation in housing or insight into opportunities in the midst of difficult challenges proactively adapting to the business environment in the post-pandemic era, continue to adhere to the general kind of seeking progress with a stable manner and optimize the globalization strategy, focus on the 1 main stay, 2 engine strategy and deepen the linkage, beating domestic overseas, continued to focus other element, open up cross-border linkage across the banks to achieve mutual promotion inside, outside, continue to develop the 8 financial priority areas outside China in accordance with the local built for the global brand, the BOC green finance plus, consolidated advantages, cross-border settlement M&A loans, foreign exchange settlement, bond underwriting, continue to optimize and improve the comprehensive services in the area of accounts, financial advisory, cross-border custody, global cash management and payroll. We will continue to optimize and improve our comprehensive financial services in areas such as account, financial adviser cross-border custodianship, global cash management payroll, increased our market share, support cross-border e-commerce overseas warehouse and new forms of foreign trade. Grass root structural opportunities in overseas markets continue to participate deeply in construction of our northern metropolitan area and international capital management center so that we can one link point with global services. For this and the business areas such as service infrastructure, especially the Northern Hong Kong metropolitan area, International Capital Management Center, for example, areas such as servicing restructuring investment, technology and innovation, wealth management and green development seize the opportunity of RCP coming into effect, improve the group's integrated working mechanisms of ICP, seize the trending opportunities in industrial transformation, supply chain adjustment and investment trade facilitation, strengthen the role of BOC Hong Kong, the Southeast and Asian institutions, improve the ability to serve recent economic development, economic trade exchanges with China, provide professional services to Chinese or foreign enterprises to enjoy the policy dividends, continue to consolidate the base foundation of cooperation on the Belt and Road initiative, steadily expanding to new areas. Thirdly, dynamically optimize overseas development strategies, enhance globalization advantages, implement the market by market layout of the banks, better position our development strategies in different regions, graphs, conditions and different regions, furthering house marketing participants and influence, promote office institutions to adapt to the post-pandemic period and comprehensively benchmark ourselves with operating experience models performance of major international banks, continuously optimize overseas regional development strategies and original intensive management, furthering house service capabilities and layout advantages, maintain the important contribution of overseas businesses to the group, continue to improve the construction of our private banking platform and the integration of our overseas foreign management platforms, continuously improve our full product and multifaceted services to key customers, continue to deepen comprehensive risk management, promote the construction of the long-term compliance mechanism, continue to pay attention to the development and the changes of our overseas pandemic and ensure the safety of our personnel, institutions and operations. Pay close attention to the monetary policy trends and spillover effects of major economies, make forward-looking arrangements and fine-tune the management overseas risk exposures, strengthen the asset liability management of overseas institutions, achieve the healthy and sustainable development of our global business. Thank you, Executive Vice President, Chen. Yes, I noticed that -- thank you for your question. The question you just raised is truly customized for BOC. President, [indiscernible] made a very good answer, I want to supplement a few words here. BOC, as I said before, is a global bank, internationalized the bank with the highest level possible among our peers, is truly in foreign trade and FDI when in the general background of stabilized economic growth fundamentals, FDI and foreign trade. We used to be the specialized bank, managing foreign trade and FDI. And we truly served the role of being the central pillar of serving national foreign trade and FDI and cross-border transactions. And recently, we looked into the national policy of stabilizing foreign trade. We are planning for a small video clip for our foreign trade services. So it's like a commercial for you. The short video will feature stabilizing foreign trade and we'll recap the development of foreign trade of China and how BOC was able to serve this national initiative to show our resolution to fully implement the natural strategy of stabilizing foreign trade and FDI. And we call it salute to foreign trade. The content of the short video clip is basically about how BOC was able to serve the foreign trade. And the caption actually are written by our own staff. The foreign language dubbing is also done by our employees overseas. It's going to be quite unique and quite interesting. So just a commercial for this video promotion and give us feedback. Okay. Our 2 presidents answer your question. And actually, we seek opportunities from crisis, and we want to seek steady growth in an orderly manner because our mission is to serve our customers and national strategy. Next question from the media reporters. Please unmute yourself and ask questions.
Unknown Analyst: I'm from the CCTV Financial News from China Media Group. In the 14th 5-year plan, it clearly proposes the house financial inclusion and BOC's 14th 5-year plan proposes the 8 major financial service priorities and also made inclusive finance as an important focus of large state-owned banks to practice financial practices services. We noticed that in the first half of the year, your inclusive finance business maintained a high growth, double-digit growth and it used some specific initiatives to give relief to small micro-sized enterprises and citizens. Could you give us more introduction regarding this? How do you plan out the inclusive finance business in the second half of the year? How do you assume the responsibility as a large state-owned bank? And how to meet diversified needs of the economy, the players and the people?
Unknown Executive: Yes. We strictly follow the national strategy, put people first, what we do and need to fully link up with the needs of our customers and the people. This is the priority work style of BOC. The President, Liu, please.
Jin Liu: Thank you for the question from CCTV Financial News. You're asking this question. This means that inclusive finance is given a top priority by China. Thank you for your question. You said that inclusive finance important manifestation of practice in the political and the people-first nature of financial work, an important aspect of our efforts to assume corporate social responsibility. And in this year, we resolutely implemented the decision of the social government so that we can serve inclusive financing services and take targeted measures with good prospects. First, continue to reduce the inclusive loans to MSEs and stabilize the economic fundamentals. By the end of June, our MSME loan balance increased by 25.36%, reaching CNY 1,105 billion compared with the beginning of the year, year-on-year growth of 41.38% exceeding the bank's loan growth by 30.15 percentage points, ranking the first among the 4 major banks in both indicators. And nearly 700,000 inclusive financing micro small-sized enterprises have balanced with us with greater coverage. And for the new issue loans for these micro small enterprise companies, the interest rate is only 3.87%, down 9 basis points from previous year. Comprehensive financing costs for SMEs dropped by 34 basis points, continue to provide benefits to the SMEs from our profit. And also thanks to all kinds of relief and alleviation policies, we have stabilized the market players and stabilized the lending extension. And also, we have been working really hard to help the SMEs to access relief because we dare to and we are, and we want to give more lending to these companies according to the social government policy. We stimulated our confidence, our ability and our willingness to lend to them because this is going to normalize Thirty Measures. The Thirty Measures for the long-term mechanism for serving small and micro enterprises. So these actions are not expedient and the results will not be seeing in the very near term. I want to able to -- willing to and it can lend to SMEs, all these requirements need to be based on long-term efforts. BOC also are providing services to 1,000 posts and 10,000 companies. So it is one of the inclusive finance actions that we have launched to support employment so as to make use of credit lending to provide professional or vocational training and professional or employment services to form the driving force to drive employment through inclusive finance. So by this action, we provided credit support to 26,000 SMEs with over RMB 80 billion during the action to drive employment to -- and provide -- and created employment for more than 560,000 people. The bank also launched the inclusive loan app and continue to diversify its online products to meet the financial service needs of SMEs and with an increase of over 70% in the balance of online loans as the end of June compared with the beginning of the year. And we also issued the so-called new residents, 10 measures to serve the new residents, which is a new inclusive finance area in the efforts to provide services to the so-called new citizens who do not have a social security or Hukou, the household registry in living in the cities so that we can provide supportive comprehensive financial services to those groups of citizens in the cities. In terms of employment, housing, education and retirement, we also will continue to implement the policy of deferring principal and interest payment and repayment to alleviate the difficulties of SMEs in repaying the loans affected by the epidemic and a deferred amount of RMB 236.7 billion in principal and RMB 0.67 billion in interest repayment for SMEs have been provided from 2022 to the end of June 2020 -- from 2022 -- at the end of June 2022. And thirdly, we focused on the key areas and national strategies by actively supporting the scientific and technology innovation and fully support the credit support for the so-called specialized, refined and innovative enterprises with comprehensive services. And by the end of June, we have provided credit support of CNY 340 billion and to more than 18,000 such type of enterprises. We assisted the strategy of strengthening intellectual property rights by enriching the scope of IP collateral and releasing the IP index. To ensure the ability of the supply chain of the industrial chain, we have cooperated with different enterprises to provide the services to the SMEs. And we developed exchange rate preservation and the policy financing products for the foreign trade SMEs, relying on the world's first cross-border collateral service and served full major exhibition to expand the circle of friends for SMEs. In the CCIPG and the trade-in service fair in Beijing and the Shanghai import and export fair as well as a Canton Fair, we have provided financial services as one of the most important financial service providers. When I was at the Canton Fair, I told everyone that China -- Bank of China has a historical record of serving Canton Fair. If you look at the logo of BOC, the 4 characters of the logo of BOC is actually the work of the same calligraphy that has written the local of Canton Fair. Also in terms of inclusive finance, we have been implementing the rural revitalization key support program to support targeted poor regions. And we have also innovated the agriculture-related products and deepen our services for the 3 rural areas and consolidated achievements in poverty eradication. In the next phase, the bank will continue to adhere to the principle of finance for the people and help the economy to operate in a reasonable range. And this year, we will increase the investment in inclusive credit and achieve the annual target of adding RMB 300 billion. We will closely follow the major national strategies and economic and social development needs and strengthen the financial support for key areas and the key customer groups. And we will accelerate the digital transformation of inclusive finance, empower the whole process, credit management with technology and enrich the online loan product system because if we want to expand the scope or coverage of inclusive finance, we have to make use of digital technologies. For BOC as a large commercial bank, if our customers for inclusive finance and the SMEs, the scale will only be capped at hundreds of thousands of RMB. It is far from enough. But if we want to further expand the scale, we have to make use of digital products and the digital technologies. For that, BOC has made a lot of preparation. Our digital transformation strategy, our technology, OASIS project has created a solid foundation and good conditions for our development of inclusive finance.
Unknown Executive: Thank you, President, Liu Jin. With multiple measures, we have been developing inclusive finance. And just now President, Liu Jin, has also give us the outlook for the future, which reflected BOC's care for providing financial services for the people. Next question, please. Please mute yourself.
Unknown Analyst: Thank you for giving me this opportunity to ask the question. Currently -- I'm from Economic Daily. My name is Yanran. Currently, financial institutions are actively laying out financial technology and promoting digital transformation. We noted that the first batch of OASIS project went live in the first half of this year, and the BOC has also made new progress in digital transformation. So in terms of the digital transformation of BOC, have you already seen effective outcome and also in the next step, what are the focus of the bank? And what are the specific initiatives?
Unknown Executive: Thank you for your interest in this area. In the recent years, BOC has been accelerating its digital transformation and enhancing its ability to serve real economy. So I will ask Meng Qian, our Chief Information Officer, to answer this question.
Qian Meng: Thank you for your -- for the attention you paid on the progress of BOC's digital transformation. In H1 this year, BOC carried out the decision of the state council and the other regulators on the digital economy and promoting digital transformation. So with the OASIS project as the main platform, we have promoted the construction of enterprise-level architecture and the reshaping and the reengineering of basic capabilities with strategic focus at the breakthrough. We deepened the enabling effect of technology on business, brought into play the quick win effect and supported the rapid effect of business development with institutional reform as a support. And we have made achievements in the following 3 areas. First, we made a breakthrough in digital infrastructure construction. The OASIS project as the landmark project of the bank's 14th 5-year plan layout is a key piece that will make the whole -- that will help us to accelerate the digital transformation in H1 this year, the first batch of the project was put into operation, and we have made a major breakthrough in the business and technical abilities. In terms of business ability, the first batch of this project was successfully completed. And in terms of technology abilities, we have also formed the new generation finance technology infrastructure to support mobile, big data and artificial intelligence platforms that we call [indiscernible], et cetera. So as to form the IT architecture with the features of componentization, platformization and service-oriented. Secondly, the level of digital service continued to improve. The strategic scenario area of mobile banking provides special services to meet the needs of different customers. And the total number of visits has reached 71.67 million. And we completed the pilot operation of the digital RMB Winter Olympics scenario and maintained the leading position in the main market indicators of the digital currency scenario ecology, launched the BOC smart chain brand series, built an online product system of certificate and financing supply chain finance and utilized our cross-border advantages to provide domestic and foreign, local and foreign currency, online and offline integrated supply chain financial services. So we provide the online interconnected payment collection products for SMEs. We have built the supply chain online product system by making use of our cross-border advantages, we provide domestic and overseas local currency and foreign currency services. Third, we have been deepening the mechanism -- digital mechanism. We established the financial -- digital transformation leading group. And the technology departments has dispatched their core staff to the financial departments. Through the optimization of our organizational structure, we have formed a system of a new technology service model by reforming the research and development model of the branches so as to rapidly copy and promote the successful models. We have also organized a high-quality technology study team and established the smart risk control center and the digital production center. Also in different business lines and the departments, we also have set up our digital teams so that the operational principle and the measures of digital operation has been integrated in different business lines and the design of the products. We also accelerated the development of digital leading personnel and leading staff to train statistic analysts, business model experts as well as other technology experts so as to further enrich the talents team and also accelerate the transformation of their professional capability. In the next stage, the bank will further implement the development of the digital transformation. First, we will put forward -- press forward the construction of the OASIS project based on the goal of domestic first class and international leading and the group's vision of integrated coordination so that the new digital infrastructure is more solid. In terms of risk control and channel -- product channel, we will make more innovations so as to make the front office, the middle office and the back office more agile and more responsive so as to promote all around model innovation in the marketing, products, channels, operation, et cetera. We will also follow up the changes in customer demand and business development and also promote the technology-enabled sense and promote the transformation from traffic to users to customers, build and improve a series of online and embedded platform portals, such as mobile banking, wealth management, e-banking to improve the carriers of digital services. And we will promote the technology to play a greater role in data governance, intelligence, operation and network transformation to enhance the level of groundwork. We will systematically cultivate the new digital team, deeply summarize the previous experience, form a more mature and professional training program for the new digital team and further integrate the talent strengths of all lines and institutions and bring more new vitality to the bank.
Unknown Executive: Thank you, our CIO, Meng Qian. We have been working really hard to use digital technology to improve our customer experience. We only have more time for one question. Okay. Next speaker, please omit yourself.
Unknown Analyst: Distinguished management from BOC -- 21st Century Business Herald. I'm [indiscernible]. I'm targeting the very hotspot issue in the early phase of the year. In April1, General Office State Council issued opinions on promoting development and personal pension as China's financial system for pension service continued proof. How do you implement the third pillar financial services needs and make efforts to meet these needs? Do you do any pilot program?
Unknown Executive: I think on Monday, we issued our version [indiscernible] industry white paper on building scenario-based financial services. One of it is so-called silver-haired finance services. One of the 4 new scenario-based business areas we are building right now really want to consolidate our integrated service platform for pension services. Our Vice President, [indiscernible], will answer your question. Thank you for your question. And we've been consistently implementing the party central committee strategy and State Council's decision to pay a lot of attention to pension and attach grade importance to the reform of pension finance and has incorporated to our 14th 5-year plan pension finance since the opinion have been set up and released, we set up a special task force communicated with regulators, carried out system construction and product preparation under the guidance, deepened our policy research with academia, strengthened the content cooperation with market peers, made every effort to provide financial market services and promote the supply of pension finance products. And centering around the third pillar, the 3 pillars, in the first and second pillar, we continue to deepen our resources and investment and provider policy and product development plan for the third pillar. According to the latest data currently under our custody, we are managing altogether, CNY 156 billion of annuity funds managed CNY 606 billion in annuity funds providing corporate energy account management services for 3.757 million individual customers. In terms of financial services for the elderly, we are innovating our portfolio, targeting the elderly people, customized and issued exclusive structured deposits, large certificate deposits and RMB preferential interest rate deposits elderly themed investment wealth management products and other special financial products for several of our customers, carrying out construction of aging or proper elder adults and also innovating some pilot programs. And also for the B2G2C demands, we are doing a lot of research, explore the extraction of intelligent elderly care platform construction. And centering around the needs in living medicine, food, housing, transportation and entertainment, education and learning, promoted the BOC plus welfare mutual pension fund platform. And using the culture, public warfare and smart technologies to provide pension services, built silver-haired scenarios and provide the open university for the silver-haired population have online information and senior care institutions help the transformation of those institutions. And also, we have a multiple approach towards inclusive and integrated service portfolio. And after the pilot opinions have been issued, we are working on the special elderly savings product, for example, applying for the quality to provide such services and drafted our plan and ready to submit to the regulators. And also we have a task force at head office and the branches to provide manpower guarantee for the pilot programs, and also provide systematic reformation. All the key modules are ready put online, some peripheral system will be optimized and put into operation in September and also working on the terms and contracts and also prepare for the launch for the businesses because before that, we need to be fully prepared like training our people. Looking ahead, the aging of population continues to deepen and densify needs came to the full. The Chinese Academy of Social Sciences predicts that the total consumption of China's elderly population will reach CNY 80.33 trillion and CNY 61.26 trillion in 2030 and 2050, respectively. And the market we already development of the senior care industry were assuring a strategic opportunity period. And under the guidance of the such government, we will continue to input -- invest more into this to use innovative product portfolio, to consolidate our services in this segment and contribute to the dealing of aging population in China. Thank you, Executive Vice President, [indiscernible]. As Vice President, [indiscernible], in his answer, mentioned that in the elderly services, especially the elderly financial services area, we really want to promote the development of the elderly services and senior care in China make great contribution. I really want to thank all the media reporters and investors and analysts for joining today's interim results announcement meeting. I also want to thank all the audience who are listening through online streaming platforms. If you want to have more details regarding our operational details, please log on our official website and consult our interim financial statements. And keep in touch with us, BOC, the 2022 interim results announcement meeting, this is hereby adjourned. Thank you so much for giving so much care and attention and support to us. Bye-bye. See you next time.